Operator: Good day. And welcome to the First Commonwealth Financial Corporation Fourth Quarter 2015 Earnings Release Conference Call and Webcast. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Ryan Thomas, Vice President of Finance and Investor Relations. Please go ahead.
Ryan Thomas: Thank you, Miata. As a reminder, a copy of today’s earnings release can be accessed by logging on to fcbanking.com and selecting the Investor Relations link at the top of the page. We’ve also included a slide presentation on our Investor Relations page with supplemental financial information that will be referenced throughout today’s call. With me in the room today are Mike Price, President and CEO of First Commonwealth Financial Corporation; and Jim Reske, Executive Vice President and Chief Financial Officer. After brief comments from management, we will open the call to your questions. For that portion of the call, we'll be joined by Bob Emmerich, our Chief Credit Officer; and Mark Lopushansky, our Chief Treasury Officer. Before we begin, I’d like to caution listeners that this conference call will contain forward-looking statements about First Commonwealth, its business, strategies and prospects. Please refer to our forward-looking statements disclaimer on Page 2 of the slide presentation for a description of risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statements. Now, I’d like to turn the call over to Mike Price.
Mike Price: Hey. Thanks, Ryan. And welcome to our fourth quarter earnings call. We sincerely appreciate your interest and investment of time in First Commonwealth. Joining me on the call this afternoon is Jim Reske our CFO. On this morning we reported earnings per share of $0.11 for the fourth quarter. Although this is a decrease of $0.03 earnings per share over the prior quarter on a GAAP basis, the core earnings capacity of the company was in line with the previous quarter and we believe that will be stronger in 2016 than it was in 2015. I would like address some important items impacting the fourth quarter upfront, relating to onetime charges and credit. First regarding the onetime charges, we had $2.1 million of severance costs to evolve the structure and approach of our consumer or retail bank. The payback on the severance should be under a year. There was $900,000 in onetime charges associated with the closing and conversion of First Community Bank in Columbus, Ohio, our first bank acquisition in a number of years. The banking presence, small as it is, has enabled our recruiting of talented residential and commercial lending talent to help build out those platforms in attractive market. We incurred $600,000 in charges associated with the disposal of two branch locations both of which were former corporate headquarters buildings. This too should pay for itself in about one year. Excluding these onetime charges, core operating earnings for the fourth quarter were $0.15 per share which was in line with the previous quarter. Operating expenses continue to be well controlled and came in below our $40 million per quarter targeted run rate. We were particularly pleased with this result given the investments we've made over the past two years to include mortgage, the corporate banking build out in Northern and now Central Ohio, the acquisition of an insurance agency and additional investment in digital technology for our clients. The second impactful item to the fourth quarter is credit. Provision expense of $6.1 million represented an increase of $1.5 million from the previous quarter and obviously was a disappointment. We recognized $5.3 million in specific reserves on two commercial credits that moved into non-performing status during the quarter. The larger of these two was tied to the oil and gas industry. We've shared similar information before that our loan outstandings to the oil and gas industry at year end totaled $65 million to some 30 borrowers. All but three of these borrowers are currently past rated credits. The three non-past rated borrowers had outstanding loan balances totaling $16.8 million at year end. Although oil and gas exposure has certainly impacted the last two quarters, we have a detailed understanding of the names and circumstances, borrower by borrower. Jim will elaborate further on the numbers in a moment, but we expect the steps we have taken in 2014 and 2015 to set us up for improved earnings in 2016. Let me explain our perspective. Operating expenses should remain flat to down as you've seen over the last year. Net interest income is expected to be grow due to a relatively stable margin and growth in commercial lending. In fact loans in our Corporate Banking Group, grew organically at an 8.2% annualized rate for the quarter. Our Northern Ohio loan production office contributed to that growth and we expect Columbus to follow a similar pattern. Our brand in commercial lending is strong as we're privileged to do business with some of the better businesses and developers in our markets. Non-interest income is up year-over-year and the fourth quarter slowdown was largely caused by a change in the broker/dealer platform in our wealth management area in October and a seasonal slowdown in mortgage. With credit we acknowledge the specter of a multi-year price trough in oil and gas or other commodities. However our exposure is limited as we've been disciplined in our loan portfolio concentration limits, which in turn limits the overall downside to the bank. Before handing it off to Jim, just one more topic. Like many banks we're continually rethinking the evolution of our retail bank and branches in particular. We’re taking some big steps this quarter. The fact is, our monthly branch transaction volume has dropped depreciably over the last four years. The good news is, the number of retail customers who do business with our bank continues to grow as does non-branch transaction volume in areas like card, ACH, mobile, online, P2P and wires over the same period. Our customers are simply banking differently. Consequently, we're continuing to reshape our branch cost structure to closely match our branch transaction volume, hence the severance charge in the fourth quarter. But we're also investing to better serve our clients. A couple of things we've done, we've reorganized and thinned the retail bank structure. We're embracing the notion of solutions oriented bankers within our branches, who can help our customers manage their money, borrow wisely and prepare for the future. In short we need to help our customers improve their financial lives. We are also realigning how the small business segment is organized again to be more solutions oriented. We're also investing heavily in better technology to serve our customers. And just a couple of examples, EMV chip enabled cards, Apple Pay, online deposit account opening followed by online consumer lending in 2016 and enhanced mobile remote deposit capturing app, new functionality to our mobile app and an account aggregation tool. With that I'll turn it over to Jim Reske.
Jim Reske: Thanks, Mike. As Mike described, the fourth quarter results were impacted by the specific reserve of $5.4 million and three unusual expense items. Mike already touched on these items, but I'll take a moment to provide a little more color on each of them. The first expense item was for the recognition of a $2.1 million one-time charge related to the realignment of our consumer businesses. We expect to redeploy the cost savings from this initiative into other revenue producing lines of business and expect that this will help us to keep overall expenses flat. Second, the $900,000 in one-time merger related expenses actually came in a little under our original $1.3 million projection due to lower contract termination charges and lower severance payouts that we had been expecting. Third, we experienced one-time costs of approximately $600,000 related to the disposition of two bank facilities as we continue to work on our total [start] for this number. These two transactions represent the last anticipated dispositions of former branch headquarter buildings within our system for the foreseeable future and we should have lower operating costs by approximately $600,000 per year. Again, we expect this will help us keep overall operating expenses flat. Excluding these unusual items, on an operating basis our total expenses were $38.5 million in the fourth quarter, which was consistent with our $40 million quarterly expense target as we continue to find ways to pay for our new investments and hit our goal of keeping expenses flat to down. Turning to the revenue side of the equation, net interest income on a fully taxable equivalent basis increased $1.6 million on a linked quarter basis. This was a result of an increase in average earning assets of $181 million over the last quarter which was driven by $73 million in organic loan growth, $60 million from the acquired First Community loan portfolio and $47 million of growth in investment securities. We sold approximately $75 million of loan yielding Agency securities in the fourth quarter and exchanged them for higher yielding mortgage backed securities, increasing the securities portfolio yield. The transaction resulted in a loss under sale of $285,000 in the fourth quarter, but will add approximately $1.4 million in pre-tax income in 2016. Higher investment yields together with lower deposit costs and positive commercial loan replacement yields helped the NIM improve by 1 basis point to 3.26%. In terms of fee income on a linked quarter basis total non-interest income excluding securities gains and losses was essentially flat. However non-interest income benefitted from the $1 million improvement in the mark-to-market adjustment on our slot positions which was negative last quarter and positive this quarter. So, on an adjusted basis our total fee income dropped as a result of pressure in several fronts. First, our gain on sale of loans decreased $600,000, but this change was driven by a $400,000 gain on the sale of a commercial loan in the prior quarter combined with the seasonal slowdown in mortgage lending. Secondly, our trust unit is coming up pretty strong third quarter results due to tax separation fees. And finally our brokerage units suffered a temporary slowdown in sales due to conversion to a new broker/dealer platform as Mike had mentioned. Given the building momentum in brokerage income this year we expect the setback to be temporary. Taking a step back for a moment, let me share with you our outlook for 2016 so that you can better understand where our company has gone. We see mid single digit loan growth in 2016 driven primarily by commercial loans. The securities portfolio isn't expected to grow or shrink. We expect the earning asset mix to improve in 2016 as loans grow and the securities portfolio remains relatively constant at approximately $1.3 billion. The profits are expected to grow in 2016 as well though not as much as loan growth. Yes, this would put some pressure on the margin but within a manageable range. We still expect net interest margin to be relatively stable in the 320 range in 2016. Our loan to deposit ratio ended 2015 at 112% and is expected to stay under 115% for the year. The [OpEx] of our loan to deposit ratio have been affected by our decision to run off $198 million in higher cost brokered time deposits over the last year in favor of lower cost borrowings. Net interest income should improve slightly due to higher earning asset balances and a stable interest margin. There was some benefit from the December rate hike but it was nominal, less than 1 basis point in margins. Our net interest income expectations are based on the assumption of two rate increases in 2016. We would acknowledge that the rate outlook is increasingly uncertain, but as we have said previously our models indicate that the bank's interest rate risk profile will be neutral in the first year with greater asset sensitivity in the outer years. As a result, we estimate that the entire difference between a flat scenario versus a scenario where rates rise 4 times in 2016 is less than $2 million in net interest income for 2016. Fee income is expected to grow as our mortgage initiative bears fruit in 2016. Starting with scratch a few years ago we ended 2015 with a complete mortgage product menu, which sets us up to convert more loan opportunities in 2016. Our full secondary market capabilities, complemented by a commitment to quality portfolio lending has resulted in an ability to hire top-performing mortgage professionals. Non-interest expense should be relatively flat as we pay for continued investments in revenue producing mortgage and commercial loan production with savings from other areas such as the such as the consumer business realignment mentioned earlier. Our target remains under $4 million per quarter and we expect to realize the benefits of positive operating leverage at the end of the year and an efficiency ratio under [50%]. Provision expense should cover net charge offs plus cover anticipated loan growth, all the while keeping our allowance as a percentage of total loans relatively stable in 2016. We expect provision expense for 2016 to be in line with 2015 or slightly higher. This outlook reflects modest strain in the commercial and consumer portfolios and weak energy and metals prices but assumes that the broader U.S. economy will continue to grow at its current pace. We do anticipate some quarterly volatility in our provision expense as we have experienced in the past. In other news our effective tax rate was 29.4% at the end of the fourth quarter and we expect it to be in a range of 29.6% to 29.9% in 2016. And with that we will take any questions you may have.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Bob Ramsey with FBR. Please go ahead.
Bob Ramsey: I appreciate all the guidance for 2016. The expense number looked really good this quarter and then you said you expected expenses next year will be relatively flat and talked about some of the pieces. But should we think about it flat in total to operating expenses let's see of $155 million or we think in flattish in terms of $38 million to $39 million quarterly run rate or what is sort of the right way to think about that?
Jim Reske: As a line item sub-$40 million.
Bob Ramsey: And then on the margin guidance, I know you guys said you think the margin will be more or less flat and I think you said 320 for the year. Did you say mid-320, as I just missed whatever detail you said?
Jim Reske: Yes. I said in the 320 range which should -- 320 to 330.
Bob Ramsey: Can you give a little bit more detail maybe on the energy credits this quarter that you had the specific reserve?
Mike Price: There were two credits that tipped and the larger one was an energy related credit. That took the credit I think in the press release was $7.5 million and we have a specific reserve of probably 55% of that credit. And it is really in the call codes they are a servicer.
Bob Ramsey: Could you share what type of business the service is in or any more detail on how much you can and can't say?
Mike Price: Their fortunes are tied to rig counts and as rig counts have fallen off, they are not in the maintenance of wells, they are in the drilling of wells. And that's impacted them.
Bob Ramsey: I think those were the real questions, I guess I'll ask as well on the capital front about share repurchase appetite. I know you don't currently have an existing authorization but you're stock has certainly come in quite a bit over the last couple of months, just curious about appetite for share repurchases here?
Jim Reske: Yes, we're looking at that and discussing it. We do have an appetite for that and we do recognize the value of returning capital to shareholders in the form of buybacks at the time but nothing to announce at this time.
Operator: The next question comes from John Moran from Macquarie Capital. Please go ahead.
John Moran: The three that are non-pass in the energy book and I understand that they are a small concentration for you guys, you have managed well. But are those also services credits or is there some reserve based in there too?
Mike Price: There is -- one is exploration production, another one is tanks and water and the other one is oil field services.
John Moran: And then I guess the provision guide for 2016 is kind of at the same levels as '15 maybe slightly higher, that would incorporate some additional, I don't want to say hooking credits, but some additional migration into kind of adverse grades in that book granted again kind of small concentration?
Jim Reske: We do have internally -- we do expect a little bit more strength this year than the past year in our projections. But that doesn’t dissuade the -- we feel there's ability to still grow the earnings per share of the company.
John Moran: Just switching gears over to mortgage, I'm sorry if I missed this, but is that expansion now at this point hitting profitability? Certainly it seemed like it expected to this year but just curious if it was in the last quarter and if not when it would hit profitability?
Mike Price: We've been I think passed the breakeven point for several quarters now and just really ramping up to a rate we think is commensurate with our market share as a community bank, which is probably on a trajectory to be 50% to 100% more over the next year than it has been in the past.
John Moran: 50% to 100% more and then just we'd see -- regular seasonality kind of in that business now that it's or in the process of ramping?
Mike Price: Our build out has occurred primarily in Ohio, where the mortgages are a little larger in the communities that we are working in. We've been able to attract some talented mortgage loan originators and that is a nice opportunity for us. It's really about the talent you can attract. And we've been able to get some good people in Columbus and Northern Ohio.
John Moran: And then just maybe just a quick update on First Community opportunities that you see in there, how are things going?
Mike Price: It's just that the team did a terrific job. We had a flawless execution really, hit our milestones in terms of the conversion, not a lot of customer disruption. Typically you see 5%, 10% deposits run off, amazingly we didn't see that, they were actually up a little bit since the legal close in October. But what it becomes albeit small, it's just the chassis for good branches with some good people in them, a market presence and that really surprisingly has allowed us to attract probably better talent than we would otherwise. But we've put some costs on top of that with a couple of commercial lenders from some larger institutions and also three or four mortgage loan originators in some pretty thriving Columbus markets. So we've added some costs and Jim you know the numbers on how that's running, I think we gave some guidance in the past. How are we doing versus that?
Jim Reske: Yes, it's coming in line with our expectations from before. I guess really the overall impact to the bank's financial performance is going to be immaterial, it's not going to move the needle up efficiently, any aggregate. It's really more about the build out of the platform that you described Mike. So, but it's revenue positive and actually slightly positive to the net interest margin at this point. Not even 1 basis point but in the right direction.
Operator: The next question comes from William Wallace with Raymond James. Please go ahead.
William Wallace: I apologize if I missed it but did you give guidance on fee income for the year?
Jim Reske: We just said fee income is expected to improve because of the mortgage build out.
William Wallace: So everything else should be relatively flattish?
Jim Reske: Expenses are flat, we expect net interest income to continue to grow.
William Wallace: I mean on the fee income, the various fee income line items the only driver of growth is going to be mortgage or everything else?
Jim Reske: No. I am sorry, thank you for asking the question and I will clarify. Mortgage is the primary driver of growth in fee income. We do expect other fee income items to grow as well. I think I mentioned in the comments brokerage has really had a great trajectory throughout the year and we expect that to grow. So mortgage is not the only driver of fee income growth but possibly the primary driver in 2016.
Mike Price: And we've seen some nice traction in debit card and interchange income as well.
Jim Reske: In insurance, because the insurance Agency acquisition we did last year, insurance is up year-on-year and that's trending nicely as well.
William Wallace: Okay. And then you called out about $3.6 million in expenses in the quarter that could be considered onetime. I am just wondering, are those spread out, I am just struggling to find one line item that I can back them out of? For example the $2.1 million severance was that in the salary line, so was you salary down?
Jim Reske: Yes, that was in the salary line.
William Wallace: When did the severance or when did the changes occur?
Jim Reske: The severance was accrued for in the fourth quarter, the $2.1 million and the changes are taking place in the first quarter.
William Wallace: So the realignment was done at the end of the year, not at the beginning of the quarter?
Jim Reske: The realignment was paid for at the end of the year by accruing the severance amount. The actual realignment will be taking place starting in first quarter and continue throughout 2016.
Mike Price: It is starting this month.
Jim Reske: Yes.
William Wallace: Okay. And then I am curious if you have noticed in your markets any kind of ancillary impacts to low gases. Are you seeing lower vacancy at any of your hotels, any weakness at any restaurants, things like that, just maybe give us a sense of the markets that you guys are operating in based on your anecdotal evidence?
Mike Price: But this is anecdotal and it mostly comes through -- our people are extremely involved in community Chambers of Commerce, non-profits, united way, hospital boards, those types of things, and just a lot of family friends, dozens of people that we probably know in the oil and gas industry, a lot of those have been impacted and really in the last quarter and half. So that's very anecdotal, but I think it's real and so we're looking for the impact of that in local business. A lot of these towns, though I mean the economies are relatively diversified. There is a lot of colleges and universities, hospitals, healthcares, so it's -- that infrastructure preceded really Marcellus. So perhaps it will be muted, but these aren't oil and gas towns. This is a relatively new phenomenon that has been added to, I don’t know if that's helpful or not Wally.
William Wallace: I appreciate that of the 30 credits that are direct to energy, three are not pass grade, are you seeing migration of the other 27 to lower pass ratings and is there, should we be cognizant of a potential for that migration to continue in that portfolio?
Jim Reske: I think it could happen depending on the length of the cycle, but with 30 names it's $65 million. Most of the names are small businesses, only 12 borrowers over $1 million, so we're watching those closely. And we're just -- we have four to five that we have our eye on and just watching them closely.
Mike Price: Some of them -- probably the largest exposures Wally, the largest two don't borrow and really never have, they really fund their operations with equity partnerships and so it's an interesting lot, but we're going to follow that closely.
Operator: The next question comes from Matt Schultheis with Boenning. And I am sorry if I mispronounced your name.
Matt Schultheis: Really quickly with regard to the retail branch delivery and restructuring that you've announced, for the actual restructuring that you’ve announced this quarter and that's going to be executed in January. Are we looking at actual branch closures, or are we looking at simply staff who are not going to make the successful migration to a universal banker model being migrated into a career change?
Mike Price: It's more of the latter. We've done some pruning with branches. It's more of a focus on delivering broader product and services and less of the historical bifurcation of the platform and the tellers are kind of blurring that distinction having a more robust professional and then we just need probably fewer professionals in each of the offices. And we're working around a lot of operating procedures on how we can run branches just with literally a leaner staff and more flexible staffing. So a lot of moving parts. It's tough stuff. These are really good people that have worked for us for a long period of time but really a lot of change there.
Matt Schultheis: And then with regard to -- you mentioned branch foot traffic, so with regard to looking out towards the second half of 2016, is it possible that we would hear about branch actual physical locations closing the branch consolidation?
Mike Price: You could but our focus is really on the inside of the branch and the customer experience. More so we think that's where we really need to get it right and then certainly as transaction counts change and we track them pretty closely everything from cards over to calendar to HCH to checks to bill pay we have to adopt our cost structure to match how our customers want to do business with us. It's really pretty simple. And we have taken as Jim outlined, in terms of the larger offices -- headquarter offices where we have more costs and more exposures, we've kind of addressed those over the course of last three or four years and there's been probably three or four or five of those that have kind of leaped in and erupted from time-to-time. But this is more the inside of the branch and are good people to deliver to the customers versus a brick and mortar, I think that will come, I hope it will come. It will probably come also with investment in different types of offices that our customers find more appealing.
Matt Schultheis: And then lastly just to make sure I heard right, I think Jim said that this is the last of the former headquarter buildings that we should hear about as far as you guys getting rid of them, is that correct?
Mike Price: Yes, that's the last anticipated disposition that we have really for the foreseeable future and if rates are there like because we do -- there are still some former headquarter buildings from the history of acquisitions that we may have done in the past, but there's nothing really anticipated in change of our decision, any results at this time.
Operator: The next question comes from Collyn Gilbert with KBW. Please go ahead.
Collyn Gilbert: Just two quick questions. Just on the credits, the two non-performing credits that popped up this quarter, were they on the watch list in the third quarter?
Mike Price: Yes. But the one the -- actually there's three that I'm looking at, but the two, let me check. Yes, on the larger one and on the second one I'm not sure what the grade was, it was either watch -- I don't think it was classified yet.
Collyn Gilbert: And was there anything in particular that pushed the oil and gas credit other than saying the obvious but more particular from your internal perspective that moved it to non-performer this quarter?
Mike Price: No, just the lower rig counts, the precipitous drop over the course of the last 12 months and then kind of protracted affected that with the larger company.
Collyn Gilbert: And then just did you -- have you covered this Jim, I apologize, but did you say what was it that you'll be asset yield higher on a linked quarter basis?
Jim Reske: We had a -- well a couple of things. We had positive commercial loan replacement yields which is nice. I mentioned previously in previous quarters that's fluctuated from quarter-to-quarter but this was a quarter which was positive. And then the bond exchange is executed [indiscernible] it took the overall securities portfolio yield up which upped the yield as well. Deposit costs actually came down slightly over the quarter and that all that worked together to help the NIM.
Operator: Thank you. [Operator Instructions] And we have a follow-up by Bob Ramsey with FBR. Please go ahead.
Bob Ramsey: You may have answered this when Wallace sort of asked it. But I know Mike you said that looking about that credit this year you do expect a little bit more strain and I'm just curious if outside of energy if you're seeing anything that gives you pause or is sort of getting maybe as more of a flag today than it was six months ago?
Mike Price: Just one, there would be probably commodities related. We had some -- every business or every community has a scrap dealer and people that make their living with metals and things like that and we bank a few of those families and we have for years. And so we're seeing a little strain there and that's things like aluminum, copper and just the basic scrap business you see in almost every large community. And so that's kind of commodities related and that's probably the big one. We're really not feeling any strain in investment real estate and that's probably about it and then just oil and gas here the last couple of quarters.
Operator: This concludes our question-and-answer session. I'd now like to turn the conference back over to Mr. Mike Price for any closing remarks.
Mike Price: Just as always we sincerely appreciate your interest in our company. And Jim and I are available if you have any questions or follow-up questions from time to time and you want to clarify things. But thank you sincerely for you time today.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.